Operator: Good day, ladies and gentlemen, and thank you for standing by. Welcome to the Manchester United Fourth Quarter and Fiscal 2014 Earnings Conference Call. At this time, all participants are in a listen-only mode. Following the presentation, we will conduct a question-and-answer session. (Operator Instructions) We would like to remind everyone that this conference is being recorded today.  Before we begin, we would like to inform everyone that this conference call will include estimates and forward-looking statements, which are subject to various risks and uncertainties that could cause actual results to differ materially from these statements. Any such estimates or forward-looking statements should be considered in conjunction with cautionary notes in our earnings release regarding forward-looking statements and risk factor discussions in our filings with the SEC. Manchester United plc assumes no obligation to update any of the estimates or forward-looking statements.  I would now turn the conference over to Ed Woodward, Executive Vice Chairman of Manchester United. Please go ahead, sir. 
Ed Woodward: Thank you very much, operator, and thank you everyone for joining us today. With me on the call are Hemen Tseayo, Head of Corporate Finance; and Samantha Stewart, Head of Investor Relations. 2013-14 was a challenging and disappointing season, however, I am confident that with Louis van Gaal as our manager, with a clear philosophy and strength in a reenergized squad, we will get back challenging for the title and trophies. We have one of the best of the world’s best managers in Louis van Gaal. He has already begun to reinvigorate the club with new faces and methods, while embracing the heritage and tradition of Manchester United. He joined us immediately after the World Cup in Brazil, where he led the Dutch team to an impressive third place finish. His track record of delivering top performing teams at both the domestic and European levels speaks for itself and we are excited to have him leading our first team squad. There’s a real feeling at the Aon training center, not amongst just the coaching staff and players, but general staff also, that we are at the start of something special. We’ve had an excellent (inaudible) having signed several top class players in Blind, Di Maria, Herrera, Rojo, Shaw and Falcao, who is on a one year loan with an option to purchase. We also promoted several youngsters from our academy to the first team squad including Blackett, James and Wilson. We also won the International Champions Cup, as part of our pre-season preparations, setting a US attendance record for football match with over 110,000 enthusiastic fans at the Big House in Michigan. We also continued to see incredibly strong support from our fans, with season tickets selling out faster than any time since we increased the capacity at Old Trafford to 76,000. Commercially we continue to go from strength to strength, as a recent world record deal with Adidas shows, United is the club companies choose to associate with, and in doing such deals we’ve underpinned our ability to compete at the highest level for the next decade. Looking at 2014 results, we once again break record by generating higher revenues and EBITDA than ever before as our broadcasting revenues grew 34% from the Premier League domestic and international rights agreements and our commercial business delivered impressive 24% growth, driven largely by sponsorship revenues which were up nearly 50%. Since the end of fiscal ’14 we’ve also announced our partnership with Nissin, an industry leading Japanese food brand well known for their instant noodles, as our newest global partner. In July, we announced our 10-year agreement with adidas, as our new global technical sponsor with dual branded licensing rights beginning on the 1 August, 2015. We are very excited to have adi as our partner and believe their distribution capabilities will magnify the reach of our merchandize and enable our fans to more easily engage with that club. The £750 million adi deal is a record setting kit and sponsorship deal, not just in football, but for all sports. This was a culmination of four years of hard work from over 70 members of our staff including 13 of our sales teams to analyze and size the depths of this opportunity. We reached out to over 450 companies around the world, and at office of more than 20. adi was a clear choice as they impressed us greatly with our [invigorating] passion for football and a vision and plan to grow and develop our business for the next 10 years. With a broad product range tailored to meet the needs of our fans globally, and a very impressive distribution foot print. As part to the end of that agreement, we made sure that some key rights would revert to Manchester United including retail, e-commerce, mono-branded product licensing and soccer schools. Under the current arrangement, all of those businesses are managed by Nike, and we believe there is significant potential in those businesses once we have full control of where retail outlets may be located and how we sell our products on line. Moreover meaningful growth opportunities in sponsorship remain both in terms of categories and countries. Before I turn the call over to Hemend to discuss our financial performance, I would like to talk a little bit about the exciting emerging markets of football that is the US. We seem to be in the midst of a step changing amendment with football or soccer breaking in to mainstream sporting consciousness in the US. Clearly, that’s been aided by the recent World Cup in Brazil, the strong performance of the national team there, and the popularity of football themed video games. We played our five tour matches across the US to a cumulative stadium audience of more than 360.000 people. The US attendance record I have already mentioned of 109,000 which we set in Michigan is higher than any Super Bowl or World Series game in history, breaking a record that stood for 30 years set at the 1984 Olympics when Brazil lost to France in the final. Here are some interesting statistics showing the growing potential of the US as a market for football. America supporters bought 197,000 tickets for the 2014 FIFA World Cup, trailing only local fans from Brazil. The 2014 World Cup is the most widely streamed live sporting event ever in US history, with over 30 million live viewing hours, which is more than double the streaming of the 2012 Summer Olympics. The success of the US at the World Cup had a strong impact, not only on TV ratings, but also on Team USA merchandize sales. According to a CNBC article in July, fanatics.com sold 10 times more Team USA merchandise in the first two weeks of this year’s event than they did during the same period of the 2010 World Cup. Fanatics also reported that they saw a huge traffic on mobile devices, as fans turned to their smartphones to place spur-of-the-moment orders and mobile purchases of merchandise increased 70% or more on game days. As a reminder, a record 31.5 million Americans tuned in to NBC’s ’13-‘14 Premiere League coverage which is more than double the figure from the prior season on ESPN, ESPN2 and FOX Soccer. Additionally Manchester United was the most watched club on NBC last year, despite their challenging season. We have a very strong brand in the US, and as the game continues to grow in popularity, we are well positioned to benefit. Hemen, over to you.
Hemen Tseayo: Thank you Ed. (inaudible) fiscal 2014, I will touch on a couple of financial transactions we recently completed post the year-end. On the 5th of August we priced a secondary offering of 12 million shares upsized from 8 million shares, which resulted in an increase in our float to 28.7 million shares, and later in August, we restructured our term loan facility with [BANA Bank of America N.A.] extending the maturing by a year to August 2019, removing the requirement for scheduled repayments and resetting the principal amount to the original $315.7 million, while keeping the interest rate and other terms unchanged. Turning to our financial performance, I will focus my remarks on the full year numbers, as the seasonal nature of our business doesn’t easily lend itself to a single quarter analysis, without significant explanation and understanding. Furthermore, unless I mentioned otherwise, as usual, all figures are in UK pound sterling. Total revenue then for the year was up 19.3% to £433.2 million, and adjusted EBITDA increased 19.8% to 130.1 million pounds reflecting strong performances from our commercial and broadcasting businesses. Consistent with previous announcements, we’ve included both adjusted net income and adjusted diluted earnings per share, as we believe in assessing the true comparative financial performance of the business it is useful to strip out the distorting effects of material debits and credits unrelated to the underlying business, and then to apply to normalized tax rate of 35% for both the current and the prior periods. We provide a reconciliation of this in the earnings release. Adjusted net income then grew very strongly up 51.1% to £28.7 million, and adjusted directly earnings per share increased to 50.3% to 17.51 pence per share highlighting the significantly improved underlying performance of the business. I won’t address every line item year, but will highlight the items that we believe are most important. Sponsorship revenues increased to 49.4% to £135.8 million due to the activation of several new global and regional partners, high sponsorship renewals and a significant increase from a preseason tour in July 2013. Merchandising, apparel and product licensing revenue was £37.5 million, a decrease of £1.1 million or 2.8% as football fans primarily focused on national team products in the run-up to the World Cup. Mobile and content revenue decreased £7 million due to the expiration of a few of our partnerships in territories that we have decided to keep clean as part of our broader digital media strategy. We believe that the recent launch in limited territories of the smartphone app which we mentioned in the previous earnings call will strengthen our relationships with our telecom partners as customers increase engagement with our mobile content and provide us with valuable live learnings for a digital media offering. In fact at this point I would like to highlight that we have changed the nomenclature of this income stream to clarify that this line item does not currently contain any revenues from our forthcoming digital media offering. The overall result then is a strong increase in commercial revenues, which now contribute 43.7% of total revenue, from 42% in fiscal 2013, which is all the more impressive when one takes into consideration the substantial step up in broadcasting revenues, which is a nice segue to our second set of broadcasting revenues, which were up 33.7% as a result of the new Premier League domestic and international rights agreements, as well as the increase in revenue from the UEFA Champions League, as we received a larger share of the UK market pool by virtue of finishing first in the Premier League in the 2012-‘13 season compared to second in the 2011 and ‘12 season, and these the quarter final stage in fiscal 2014, compared to the round of 16 stage in the prior year. Match day revenues declined very modestly as fiscal 2013 revenue were positively impacted by a number of London Olympic Games matches being hosted at Old Trafford. Total operating expenses increased 20% due primarily to player acquisitions and renegotiated player contracts, increases in professional fees and increased pre-season tour costs. Overall, we generated an operating profit of £67.9 million in the year, an increase of 9.5% over the prior period. Below the line, the key item I would like to highlight is that finance cost, which decreased £43.4 million to £27.4 million for the year primarily due to interest savings of £12.9 million as a result of our refinancing and the cost associated with the repurchase of senior secured notes in the prior year. Turning to the outlook then for fiscal 2015, we expect total revenues to be in the range of £385 million-£395 million and adjusted EBITDA to be in the range of £90 million-£95 million. I would also like to provide some color on a few other items you might find interesting when modeling our business. We expect total wages to be down slightly low single-digit percentage points due to do the sale, release and retirement of players coupled with no uplifts for participation in the Champions League this season, amortization to be approximately £100 million. As you know, this figure can change if we buy or sell a player or extend players contracts. Interest expense to be approximately £25 million and our effective tax rates to be approximately 35%, but this will of course vary subject to the relative magnitude of permanent differences. Finally, regarding net player CapEx, we incurred £79 million in fiscal 2014 and for fiscal 2015 committed net player CapEx after the summer transfer window stands at £90 million. As we have mentioned in the past, net player CapEx expenditure has and will continue to vary significantly from period-to-period. I’ll now hand the call back to Ed for closing remarks.
Ed Woodward: Thank you, Hemen. We remain excited about our business and its growth potential. As we have mentioned before, the value of life [support] continues to increase, which should lead to further growth in our broadcasting revenues with the new cycle of deals and our commercial businesses continue to thrive. Regarding our retail business, we’ve started working on the strategy for the various rights that will revert to us in August 2015. The adidas deal was announced less than three months ago, and we continue to refine and develop our strategies for the various business opportunities. I look forward to sharing our plans with you in due course. We continued also make progress on digital media. On 14 July, we launched MUTV in HD ahead of our US tour, our archive is not fully digitalized and as part of the HD launch, the channel went through a full brand refresh, including all-new on-air graphics. The club also invested significantly in new production facilities with brand new studios at Old Trafford and Aon Training Complex, as well as new control rooms and [additional] suites. Of 21 August, we launched an official Manchester United branded social messaging account in three languages English, Japanese and Thai with line one of Asia’s biggest social messaging platforms, which could see the club engage with over 400 million users across the globe, and allow users to access Manchester United news, videos, and imagery directly from their mobile phones to share with friends and contacts. As we look to short and medium-term, we are well-positioned to take advantage of our burgeoning social media presence, which now includes 56 million Facebook followers, 21 million on the Twitter, Google+, Sina Weibo and other social media platforms and over 37 million CRM database records. This combined with the ability to fully integrate our e-commerce and content platforms makes now the right time to turn our focus to the digital media opportunity. Over the summer, we had a major refresh of the squads with 13 players coming in, including six from the Academy and 17 players departing including Ryan Giggs, who joined our coaching staff. So in summary, we are excited about the year ahead both on and off the pitch, and we look forward to sharing our compliments with you through 2015. With that I’ll hand it back to the operator and we’re now ready to take your questions. Thank you.
Operator: (Operator Instructions) Your first question comes from Bryan Goldberg with Bank of America. Please ask your question.
Bryan Goldberg - Bank of America: Just kind of a few questions on your new deal with adidas. Aside from the financial terms that we’ve read about in the press and the fact that you’re able to claw back the non-Jersey rights from Nike, I was really just looking at the jersey part of your business going forward, could you give us some more color about what some of the merits are respect to adidas being a supplier versus Nike previously, what some of the operational or strategic benefits could be over the next 2 to 3 years, and other certain parts of the world where they would be stronger from restoration standpoint. Any color that you could provide would be helpful.
Ed Woodward: Good question. Bryan, I think the core of the deal is what you’re describing here, and obviously this is a very competitive part of the process with a number of sportswear company stepping up to look to buy this piece, and adi as I mentioned already put football at its core, and when you look at that, together with their geographic distribution footprint, that’s really what got us excited. They’ve got a huge number of retailers and partners, wholesale partners across a wider geographic spread. I think for example in China, they have a multiple of what most of us in the industry have in terms of reach from a distribution perspective. So I think the key of that question is distribution.
Bryan Goldberg - Bank of America: I’ve got two more on this. Financially or just mechanically with respect to this deal, the Nike deal has a fixed fee element and a profit sharing element. With respect to the adidas deal, is there a similar type of structure? Is there a profit sharing element or a performance driven element, and then how would you be recognizing the payments from adidas on your P&L. Are these going to be sort of flat lined fees over the life of the deal, will they be escalating; any color you could give us there from a modeling perspective will be helpful.
Ed Woodward: Sure. Hemen, why don’t you take that question?
Hemen Tseayo: Sure, thank you. I will do them in reverse. Actually in terms of the recognition, we are still working through that with our auditors and so when we got something to announce we will let you know, there are a number different ways that it can be done, but we’ll hold off on confirming that until we can be absolutely certain. In terms of the mechanics, there is and there is so much we can say, but we can’t tell you that there is the fixed fee element, and there is a performance element above a certain threshold, but we can’t let you know what that threshold is. So there is upside that will be driven of incremental.
Bryan Goldberg - Bank of America: And then finally, I know it sounds like you are still working through your strategy, but with respect to taking control over the retailing and the e-commerce opportunities for example, I know you don’t have an official plan to disclose today, but just broadly speaking, how are you sizing these two market opportunities. If you can kind of give us any kind of boundaries to think about the potential here, for those two buckets of the business, that’d be great.
Ed Woodward: Did you say retail and --.
Bryan Goldberg - Bank of America: Yeah, the e-commerce or even licensing more broadly.
Ed Woodward: Yeah, they are three different businesses there. Look, we know today how much those three businesses make in the existing structure in existing deals, and clearly there has been to-date a sharing of the retail margin due to the nature of the deal with Nike. So there is fantastic visibility on that full margin with regard to the mega store, because we have a highly visible [football] coming through and that translates very accurately in to a set of numbers and we will now capture the full retail margin there. How that then gets replicated across further retail outlets, whether owned or through joint-venture, expanding in to the UK, expanding around the world in to various countries in to airports however we do it is something that is a work in progress and sizing that market is something I would rather told you about in the coming calls. E-commerce, I think we have been pretty open on e-commerce and said that the low single-digit percentage of app from a revenue perspective that we are selling through e-commerce we believe is very low compared to what we should be doing. As an apparel its an easy – as a form of an apparel Jersey is an easy one for fans to buy or should be an easy one for fans to buy online, it’s not something you try on and look in the mirror and make a purchase decision based on how it looks necessarily. So I think the sizing of e-commerce will become trending to a level that we see from other retailers in terms of overall e-commerce ratio, and we are a long way off that. So we think there’s a big opportunity there and of course we will capture a chunk there of the regional margin. And licensing, licensing has been sold to-date; it’s been done through lots and lots of different deals with companies around the world. When I talked about 450 companies that we went to, a large number of those were companies that had potential interest in licensing. So we have spaced the market fairly accurately, and we have a very clear view as to what we think we should be doing on that. But again it’s too early for me to be guiding you as to the sizing of that opportunity, and I look forward to doing that in the next 12 months.
Bryan Goldberg - Bank of America: Fair enough, that was very helpful. Thank you.
Operator: (Operator Instructions) Your next question comes from the line of Matthew Walker of Nomura. Please ask you questions.
Matthew Walker - Nomura: Just a few questions please, the first is, you’ve given CapEx numbers, could you say how much of the summer spend fell in ’14 versus what’s going to fall in ’15. Could you also may be give us a bit of an outlook for the mobile piece. I guess we are not asking for guidance on the new media specifically, but on the mobile side that will be helpful. And can you also say just to confirm, I guess this is true, but the guidance you’ve given for revenue so far for ’15, if you could just confirm if that includes the top three finish as it usually does.
Ed Woodward: Sure. Hemen, why don’t you [take] the first question on CapEx.
Hemen Tseayo: Sure, absolutely. Hi Matthew. Yes, with respect to the CapEx we’ve got about 29 million to 30 million of the summer spend of the players that we brought in was taken in FY’14, so in to the 79 million figure that we’ve got there.
Ed Woodward: And I will quickly answer the third question and hand you back to Hemen in terms of the mobile question, the outlook on the mobile. You are correct, we assume third in our budget, as we can get all the [way] to that side of guidance.
Hemen Tseayo: Yes, with respect to mobile we haven’t specifically guided on that line item in the past, and I think you probably have a decent idea with respect to where we are based on the FY’14 numbers with that coming down, so we are sort of very low teens in terms of FY’14 in terms of that line item. And then for ’15 it’s something that we haven’t guided on but I think you can infer from the fact that our digital media pieces to come going forward and that will ultimately be the driver of that line in a bigger way. We probably see that line as being crudely flat, I guess, for FY’15 to be helpful is probably the best way to look at it.
Matthew Walker - Nomura: That is helpful. Just one quick follow-up which is, do you intend, it’s difficult to say obviously but do you intend to significantly increase CapEx in the January window.
Ed Woodward: No, we don’t intend to significantly increase CapEx in January. We will continue to monitor together with Louis his view of the squad and continue to make assessments as to which areas of the squad that we would look to strengthen and by definition which areas we would look to sell. We feel like we’ve gone to a level now where we’ve got a stable number back in the squad. I think we guided previously that the sort of usual three in-three out is sort of part of the course in terms of the number of ins and outs every year, and those typically are in the summer. So I wouldn’t necessarily sit here and have expectations around January, but I think as we’ve demonstrated if there is a willingness from the manager to do something, we will engage with him and look to see that’s something that we can deliver, and if January is the opportunity then you have to take the opportunity when it comes, like we did last year with one matter.
Operator: Thank you. There are no further questions as we have run out of allotted time, please continue.
Ed Woodward: Thank you very much for everybody for their time on the call, and we look forward to updating you on Q1 in a few months. Thank you.
Operator: Thank you. That does conclude (inaudible) thank you all for participating. You may all disconnect.